Operator: Good afternoon. My name is David (ph) and I will be your conference operator today. At this time, I'd like to welcome everyone to the First Commonwealth Financial Corporation Fourth Quarter 2021 Earnings Release Conference Call. Today's conference is being recorded. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. If you'd like to ask a question during this time,  Thank you. Ryan Thomas, Vice President of Finance and Investor Relations. You may begin your conference.
Ryan Thomas: Thank you, David, and good afternoon, everyone. Thank you for joining us today to discuss First Commonwealth Financial Corporation 's Fourth Quarter Financial Results. Participating on today's call will be Mike Price, President and CEO. Jim Reske, Chief Financial Officer. Jane Grebenc, President and Chief Revenue Officer. And Brian Karrip, our Chief Credit Officer. As a reminder, a copy of today's earnings release can be accessed by logging on to fcbanking.com and selecting the Investor Relations link at the top of the page. We've also included a slide presentation on our Investor Relations website with supplemental financial information that will be referenced during today's call. Before we begin, I need to caution listeners that this call will contain forward-looking statements.  Please refer to our forward-looking statements disclaimer on Page 3 of the slide presentation for a description of risks and uncertainties that could cause actual results to differ materially from those reflected in the forward-looking statement. Today's call will also include non-GAAP financial measures. Non-GAAP financial measures should be viewed in addition to and not as an alternative for our reported results prepared in accordance with GAAP. A reconciliation of these measures can be found in the appendix of today's slide presentation. And now I will turn the call over to Mike.
Mike Price: Thank you, Ryan. This past year was another good year for First Commonwealth. So much of what we did sets us up well for 2022. We continued multi-year investments in our core systems and digital technologies for businesses, fee businesses, new geographies and credit systems, as well as our leadership and line talent. Here are a few of the 2021 highlights. Regarding loans, we had strong growth ex PPP of 4% in the second quarter, 8.2% in the third quarter, and 11.2% in the fourth quarter of 2021, and carrying good momentum into 2022. Regarding PPP, through two rounds, we made 7,400 loans for $845 million, and realized some $23.2 million in forgiveness income in 2021.  We also picked up a number of new business prospects in each round of PPP lending.  suffered in this low rate environment. But our core NIM, net of excess cash, and PPP seems to have bottomed out in the third quarter of last year. Importantly, our loan growth prospects and asset sensitivity position us well for NIM expansion in 2022., our non-interest or fee income was up appreciably in 2021, to $106.8 million even as gain on sale of mortgage income fell from $5.2 million from record 2020 levels. Our card-related income grouped $4 million to $28 million. Our wealth and insurance businesses were up $2.7 million to $19.6 million.  As we segue from PPP activities, traditional SBA lending, our SBA gain on sales business improved $3.1 million to $6.8 million in 2021. We're now the number one SBA lender in Pittsburgh and a top SBA lender in Ohio. And SBA is close to make an even more meaningful contribution to fee income in 2022. In mortgage, we've built a strong balanced offering between purchase money, construction, and refinance. It was well positioned to take advantage of low rate and higher premiums, I might add, in 2020 doing $787 million in production. Given ongoing strength in the purchase money and construction portions of the business, the team had another strong year with $760 million in 2021 production.  Mortgage touched over 6,000 households over the last two years. Many are now using debit cards, HELOCs, checking accounts, and other services with us. Expenses were well controlled from 2020 to 2021, even as we added talent in commercial and indirect lending, and scaled our risk in governance culture. We also kept up a brisk pace of IT project work each quarter. Also, after years of looking to buy into the equipment, finance space, we did a lift-out strategy with a  from a larger bank. We will see our first origination this quarter in equipment finance. Our actions to close 20% of our branches in 2020 enabled these investments.  We also wanted to give you a sampling of record levels of digital engagements. And just to name a few, mobile remote deposit capture items increased 43% in 2021. We now have 50,000 plus mobile wallet users, and we saw 63% increase in monthly transactions. Overall, active mobile users on our digital platform increased 13.5% in 2021 and lastly debit card dollar volume increased 14.4% year-over-year. On capital, the team took advantage of excess capital and low stock prices to retire 2.1 million shares in 2021 at an average price of $14.29. And we still pre -book value per share by 8% from $7.80 per share at the end of 2021 to $8.43 per share at year-end 2021.  On credit, metrics remained strong in the fourth quarter with our ACL to loans at 1.3% with low delinquency and a low charge-offs given our business mix. Turning our attention to the fourth quarter, Net Income of $34.8 million improved $684,000 as compared to the third quarter. Core earnings per share of $0.37 was a penny better as well. Core ROA was a healthy 1.45%. And the pre -tax pre -provision ROA was 1.71%. A $2.7 million negative provision expense stemming from low charge-offs, a recovery on a previously charged-off loan, and reserve release created tailwinds for the quarter-over-quarter comparison. I wanted to add some color to our fourth quarter loan growth of 11.2% ex PPP, which really sets us up well for continuing growth. In C&I lending we were up $26 million and 9.6% annualized to $1.1 billion in footings.  I might add our lines of credit on commercial side at 35% usage of the total facilities are still well below the pre -pandemic levels of 48%, which could provide some 2022 tailwinds that haven't yet. Commercials construction was up some $65 million from a $318 million base in the quarter, so a lot. Our commitments now run over $750 million, and increased construction draws will be a source of 2022 loan growth tailwind. CRE was up 3.4% or $2.3 billion. Residential mortgage was up $53 million, or 10.6% to $2 billion, really a combination of both mortgage, and really reinvigorated consumer lending through our branches. Consumer was up $23 million, or 9.4% to $1 billion, including $15 million in growth in indirect auto, which had a terrific year. As we look forward, the outlook in each of our geographies and lending disciplines is positive. Taking a step back from the quarter are three Ohio markets through loans over 22% or $500 million for the year. This stems from building out those three smaller acquisitions we did in Northern Ohio, Columbus, and Cincinnati from three to six years ago, respectively. All-in-all 2021 was a good year for First Commonwealth and the fourth quarter was another solid quarter. Our team is just as enthused about what lies ahead for our Company. With that, I will turn it over to Jim.
Jim Reske: Great. Thanks, Mike. The PPP wave will soon be behind us, but it continues to affect our results in the fourth quarter. So let me say a word about that before moving onto more fundamental results. At the end of the third quarter, we had approximately a $152 million in PPP loans on our books with approximately $6.3 million in fee income, less to be recognized as of September 30th. We had thought that most of our PPP loans would've been forgiven by year-end. However, as of December 31st $71 million of PPP loans still remain on the books with approximately $2.5 million in origination fee income remaining, which will be recognized as interest income over the remaining life of these loans for upon forgiveness.  As a result, while we recognized approximately $5.7 million of total PPP income in the third quarter from interest and fees, that figure sales at $4.1 million in the fourth quarter. Nevertheless, the GAAP net interest margin or NIM, was unchanged at 3.23%. Essentially, strong loan growth could excess cash to work, offsetting the loss of PPP income, leading the GAAP NIM unchanged. Looking forward to 2022, as PPP runs its course, the GAAP NIM will lose the benefit of PPP in the first half of 2022 as it will for all banks that participated in the PPP program. The GAAP NIM is then expected to rebound in the second half of 2022 with loan growth, with the remaining excess cash work.  In contrast, our core NIM, which we define to exclude both the PPP income and excess cash is expected to rise steadily from here. The coordinate increased slightly from 3.16% last quarter to 3.17% in the fourth quarter, confirming our previous guidance at the core NIM bottomed down in the third quarter. We expect that corneum (ph) trajectory to continue in 2022. A forward reconciliation of corneum (ph) to GAAP is provided in our earnings supplement, which can be found on the Investor Relations portion of our website. Fourth quarter fee income benefited from stronger swap income, but that wasn't enough to overcome a seasonal slowdown in mortgage gain on sale income. Expenses were up by $0.5 million over last quarter, almost entirely driven by expenses related to the build-out of our new equipment finance group. I'll wrap up with some guidance for 2022, which hopefully you'll find helpful.  We expect organic loan growth to be in the mid-to-high single-digits. And when combined with growth from our new equipment, finance division, should approach double-digit growth in earning assets. I think because we can fund that growth with cash and securities portfolio runoff, the bank's total assets should only grow by about $200 million, keeping us under $10 billion in total assets at the year-end 2022. Fee income is expected to remain steady in 2022 compared to 2021 as long expected fall off in mortgage gain on sale income as you replace with growth in SBA, interchange, slots, then wealth income.  Expenses are expected to run at $56 to $67 million per quarter in 2022 doing parts for equipment finance build-out. However, we still expect positive operating leverage when comparing our growth and expense with a year-over-year growth in our revenue, excluding PPP. Finally, I would note that our buyback programs active in the fourth quarter, during which time we repurchased one million shares at a weighted average price of $15.28. And if those numbers down slightly different from what you recall reading the earnings release that's because they are. The repurchase number  are correct, just for the record. In any event, we have approximately $20 million remaining under our current repurchase authorization. And with that, we'll take any questions you may have. Questions, Operator?
Operator: Thank you. . We'll pause for just a moment to compile the Q&A roster. We'll take our first question from Frank Schiraldi with Piper Sandler.
Frank Schiraldi: Hi guys.
Mike Price: Hi Frank.
Frank Schiraldi: Just a clarification on the loan growth expectations. I heard you said mid to high single-digits. So was that excluding equipment finance? And with equipment finance is double-digits?
Jim Reske: No, the number -- we're yet to know. The number I was giving a mid-to-high-single-digits is excluding equipment finance. It's just the regular loan growth, organic loan growth, without equipment finance. We could add equipment finance on top of that, together all in, it should approach .
Frank Schiraldi: Okay. And then. Since you mentioned the core NIM, moving higher here, wondering if you can give any sort of color on expectations as we see rate hikes, what would have given 25 basis point hike would do for your NIM here.
Jim Reske: Sure. Every 25 basis point hike resulting in about a five to seven basis point improvement in the NIM, that's usually in the quarter in which the high cap ends. Then there's  effects as loans repricing continue -- after effects, after that, so it does drift upwards after that, and that's about the ratio per hike.
Frank Schiraldi: Okay. And any color on how you think about, I would imagine -- I don't know if you model it with static deposit betas through hikes but -- automatic -- as in the first couple of lease savings you're going to be a lot lower. So any color on that front in terms of looking five to seven, what sort of deposit betas baked into there?
Jim Reske: We changed our approach last quarter. And what we're assuming now is 0% deposit betas for the first two hikes, whenever they occur. And we're doing that in our regular planning, we're doing that in our interest rate sensitivity tables that we published. So 0% deposit betas with our essential news in the first year is actually driven -- is driven by the liquidity levels that we have and everybody has. After that, it's -- our beta assumption of 25% per hike.
Frank Schiraldi: Okay, so the five to seven then would be for the first few and then as we deposit beta depths up a little bit that would be reduced, I guess, is that the way to think about it?
Jim Reske: Yes. It would be. It would be, and yeah. 
Frank Schiraldi: Thank you.
Operator: Next, we'll go to Daniel Tamayo with Raymond James.
Daniel Tamayo: Hi, good afternoon, everyone. Maybe first, you touched on the repurchase activity in the quarter, but I just wanted to know how you're thinking about the repurchase at these prices. And I think you mentioned $14 this quarter, you repurchased on average, a little bit higher than that, but obviously with  each quarter. Just curious what you're thinking about the process for repurchases now.
Jim Reske: We think share repurchases are very appropriate way to return capital to shareholders in a public way to manage capital levels. We will look at, for example, the earn back calculations, but it's really driven by where we want the capital to be, and how much excess capital we are generating, and how much capital we need to retain to fund what we expect to happen. Loan growth. Last quarter in the fourth quarter, we were repurchasing up to $16 a share and just had a cap of $16 every repurchasing almost below that. When it gets above that, we just stopped repurchasing. And what we plan to do in the fourth quarter is to repurchase just the excess capital generation gap. We now have, as I mentioned a moment ago, $20 million of share repurchase authority remaining. But we have really strong loan growth prospects. And if the share price is staying above the share and getting north of that, the share repurchase activity probably will slow down a bit from here. Happy to have that authorization though, so that if the share price does drop, plenty of dry powder to buy .
Daniel Tamayo: Understood, yeah. Thanks. Yes, absolutely. Secondly, on the margin, you have clear core NIM margin guidance in terms of expansion from here. But in terms of the discussion, or the comments you made about the decline in reported NIM of first half of the year and then a rebound in the back half, what are your assumptions within that for the usage of the excess liquidity on the balance sheet?
Jim Reske: Yes. Sure. Thanks for asking. And I will try to be a little more explicit on the NIM guidance to be helpful. So we end of the year with about $300 million excess cash. The number fluctuates a little bit, but we think the excess cash will probably be deployed fully given all the loan growth prospects  has some time in the third quarter. At the same time, we stopped purchasing securities. And securities portfolio ended the year at about $1.6 billion. We think that will drift down to about $1.3 billion by the end of next year. So that'll provide another $300 million of funding we can deploy into loan growth. So that will put us --  the excess cash will be gone by the end of the third quarter of next year. So what will happen is that the NIM -- the GAAP NIM will lose the benefit of PPP early in the year, but still suffer the weight, the suppressive effect of the excess cash for the first part of the year. But by the end of the year, the PPP will be in the rearview mirror, the excess cash will be of the rearview mirror, and the corneum in the GAAP NIM will converge. So it should be very specific on it. And we think that if rates don't rise at all levels, both the GAAP net and the corneum will probably end the year, by the end of the year in the fourth quarter, somewhere in the 320 range, in middle of the 320's. If rates rise two times, which is what we had in our forecast, I know some of you have rates rising for you four times, so the freights rise two times. Both the GAAP and the core NIM together will converge at mid-330's by the end of the year. The patterns looks different. The GAAP NIM will followed a bit first and then recover, and the core NIM should just steadily rise because in our core NIM calculation exclude both PPP and excess cash. So hoping that's very helpful.
Daniel Tamayo: Very helpful. Appreciate all the color there. And then lastly, changing  here, just on the equipment finance guide, just -- you talked about the difference in the growth targets with and without, but I think last quarter you mentioned $200 to $250 million in balances is what you were thinking by the end of the year. Is that still the thought process?
Mike Price: Yes, that's correct. And probably making loans here in the first quarter.
Daniel Tamayo: Alright. Terrific. That's all I had. Thank you for taking my questions.
Mike Price: Thank you.
Operator: Next, we'll go to Steve Moss with B. Riley.
Steve Moss: Good afternoon. David, just going back to loan growth here -- Mike, I hear you in terms of the very much upbeat, and obviously guidance is there too. Maybe a little color as to the type of construction projects you're lending on? I heard you're on the  commitments, curious as to how you drawn that up? A little bit more color on other sources of commercial loan growth you're seeing?
Mike Price: Yeah. On the construction side, received some nice opportunities with our top developers in public strong sub markets in Cleveland, Columbus, Cincinnati, and Pittsburgh. Education, , meds and tech. And it's just really good projects coming online with multifamily. And we're also seeing on the industrial side some input prep -- footprint developers with large tenants like Amazon, Frito-Lay, Pepsi, and others that are billing out space for those. So high quality projects. People we know in footprint, and they come on pretty quickly. I think our commitments there have got -- probably gone from 350 up to well North of 700 million over the course of the last 12 plus months. And not really fully drawn. In fact, we expect that the incremental funding will be about $6 to $9 million per month that will come online this year. And that's just one piece the commercial construction, and then that goes mini perms or perm to commercial real estate. And then other aspects of the growth, and really C&I lending, where we've seen a nice uptick in everything from small business and mid-market classic family-owned businesses. We've all seen an uptick in SBA. And then on the residential side, our -- I think our -- we believe our mortgage price will be in line with the last few years. We're getting paid a little bit less on gaining on sale. That being said, the consumer, or the branch side of the business has really improved the productivity and that business is growing. And then indirect, we've had nice momentum as well. So one or two of those could miss, and perhaps the commercial eclipse to consumer side in the fourth quarter, it's just nice to have a loan growth engine that's relatively equally yoked between consumer and commercial banking. And it just allows us perhaps to absorb some shock, or maybe a weakness in any one segment at any given quarter. Was that helpful?
Steve Moss: That is helpful. And maybe just with the equipment finance business, as you're starting that after. If you could just remind us the yields you expect to get? And just the trajectory of growth, maybe as the year goes on?
Mike Price: Yes. I mean, the trajectory growth will be back-end or second-half loaded. And then we really expect the business to kind of take-off from there and really kind of breakout years in the next two years, once we get beyond the share. We built the business from scratch and as of this week, we can book loans, and I guess, Jane, anything you want to add. Jane is the President of our bank and really is hands-on with the startup of equipment finance.
Jane Grebenc: Sure. Thank you. As Mike said, we can go live now and will. And we expect the yields to be in the high fours. And so it will help NIM a little bit, but it is a hockey stick towards the end of the year.
Steve Moss: Right. Okay. That's helpful. And then on expense, so I apologize -- it might just bring my phone. But just -- if you can repeat, was it $56 million per quarter for expenses? I'm not so sure. Jim.
Jim Reske: I'm sorry. Yes. The number was -- the guidance I gave was $56 million to $57 million per quarter.
Steve Moss: Okay. Great. That's everything from me. Thank you very much. Appreciate the color.
Mike Price: Thank you.
Operator: Next we'll go to Michael Perito with KBW.
Michael Perito: Hey, good afternoon. Thanks for taking my questions. On the cost side, I'm just curious, maybe if you can spend a minute, there's clearly -- if we kind of move back a couple of quarters. You guys are clearly kind of in a run rate now that was a little higher than what you were thinking six months ago. Some of that seems like maybe faster growth on the equipment finance side, and then some of it seems like obviously the environment on the labor side and escrow is a little bit more challenging. But just curious as we think about that range for next year, is it safe to say that it assumes budgets in a fairly robust growth on the equipment finance side? And if it comes in higher, what do you think are some of the pressures that are relevant that we should be mindful of as the cost environment remains a little challenging.
Mike Price: Yes. I mean, we have budgeted loan growth that's in the range that Jim talked about in the mid to high or single-digits in the budget. And we expect that pretty much across the board in our lending businesses and also across geographies. And we've just seen nice traction, more growth obviously in Ohio, but the Pennsylvania growth really beginning to move as well. And I'm sorry, I didn't hear the second part of your question.
Michael Perito: Just generally speaking, I mean, what do you guys view as some of the pressures on expenses upward that could potentially knock you guys above the guided range, that you're mindful on managing today?
Mike Price: Yeah, I mean, the typical things,  pressure and inflationary pressure in the supply chain would probably be top-of-mind for me. All of us are having a lot of open recs, those get filled more quickly that would actually be good because it will probably make them more productivity and higher production. Jim, anything you want to add?
Jim Reske: Just because part of your question was talking about first half of 2021, when the run rate was more like $52 million or $53 million. And then, the second half and -- what's going on -- In other words, we think we're getting stabilized in the fifties. Could be $56 million to 57 million under. Some of definitely it's equipment finance build-out. Just on that note, I would say that we're really pleased with where things are going. Thought that that business will be leaving, luckily be break, even in 2022. We actually think that business on a standalone basis went positive operating leverage this year. So pretty sold the more income than actually we've spent this year, so it's really working out very well.  It's the one of the thing that happened over the course of 2021 for the early part of the year so that's the benefit of operating the summer closed environment. So things like travel, client entertainment, some of the expenses were just ordinarily low like they were in 2020. Then as the -- over the course of year , we opened up, we spend money on travel and on entertainment. All those expenses came up a little bit. And that added to the expense base as well over the course of the year. Then when OMICRON hit that also down again. And so we are expecting -- we're actually looking forward to 22 in taking into the numbers I gave you, and our guidance, really operating as a more open company again. So thanks. That could maybe give a little bit color behind some of the trends you saw in the numbers. And the other thing I just -- to make sure we're clear, is what Mike mentioned. All that production is expense associated with that and that's money well spent. It's incentive compensation that we pay to get us  our loan growth. So that's just part of the business.
Michael Perito: That's perfect. Thank you for that. And then on the fee side,  clarify that they guided. So you guys are expected to be fairly flat and might have got $106 million reported GAAP non-interest income that you might put up this year for next year?
Jim Reske: I think our numbers have run $107 million this year. Total year $107.2 million. That's what I have and I think -- we do think that's going to be slightly up from there. But really the store is going to be a mortgage income down a little bit offset by growth in some of the other areas we talked about like SBA.
Michael Perito: Yes. And what about the swap side? Is that an area where we see some decent growth issuers with rates and with some of the commercial customer growth that you guys are seeing? I think you guys were run-rating almost $3.5 million reading into the pandemic annually and enough to step up. Just curious what your thoughts are there?
Mike Price: Absolutely and there could be some upside there and in other places that I think the guidance is hopefully conservative but realistic, and then could provide some upside. Loan and fees will be hitched together somewhat. And a lot of times we cross-sell the clients wealth management and other fees that really bill us the fee income. But the -- each of the businesses on firm footing and it's really had a nice growth trajectory the last several years on the fee income side. Wealth was prime example I highlighted earlier that was between wealth and insurance were up $2.7 million to $19.6 this past year. So we're trying to keep it going.
Michael Perito: Great. And then just last for me, I mean, have you mentioned the $200 million I think it was of earning asset growth is staying under $10 billion. Can you give us just the state of the pipeline as we look into 2022 on M&A -- from an M&A perspective and I guess, how are you guys thinking about crossing that threshold? I mean, it seems like particularly with the equipment financing coming on, it's kind of inevitable at some point in the near future  for some updated thoughts there?
Mike Price: Yeah. We've done five deals. We've looked at almost 60 as this point. So it has to be really constructive for both the seller and us, strategically.ppp And then as well as financially both on dilution side and also accretion. We stayed pretty close to knitting in our backyard and things that are contiguous to our footprint. We think that lowers execution risks. Then just the details. You can't go in just hey we're going to do a deal. You get in the midst of a deal and you look at it and it has to work for both of you and you have to really feel like on the other end of this, we're a more valuable Company. I think we've been maybe more  than some, but I think that served us well. You can see the platform we built out in Ohio from scratch had alone a $0.5 billion of growth this past year. So I mean, we're concerned, but when we do -- when we get involved in a deal, we make it very constructive for both parties, and super excited about M&A and just that's a little lumpy and episodic, so but it has to work.
Michael Perito: Yeah. Maybe just on that point, one last question. Maybe Jim, on the budgeting side, how long do you think you could stay under $10 billion without significantly altering your natural growth -- organic growth efforts?
Jim Reske: It's actually one of the nice things about using up the cash in 2022, that puts us in a slight borrowing position at the end of '22. So like I said, organically, we think our balance sheet won't grow that much in 2022, so more comfortable and stable  That's good. But in 2023, for the borrowings of money, then you can give you a little flexibility to manage the balance sheet, to sell off some assets, like securities, pay off some borrowings, and have it below  in 2023. And that would be the plan. But you're right. You have --
Michael Perito: I guess. Sorry. Sorry.  Yeah.
Jim Reske: That's right. I think you can stable over in 2023 as well. And then God-willing is M&A can obviously cross which I think was also implied in your question, which we've been saying for years.
Mike Price: Yeah, sure would be nice to be on the other side of 10 billion, a more profitable and not a less profitable company. Between a -- this acquisition plus equipment finance, that would be a strong position to be here. And then we've had a record here the last five, six, seven years of improvement in profitability of the bank virtually every year.
Jane Grebenc: Mike, if I may --
Michael Perito: Thank you guys. I'm very -- Sorry.
Jane Grebenc: Mike, if I might add. It's important to remember that indirect SBA, equipment finance and mortgage also gives us the ability to sell assets. We don't -- we've chosen to keep lots of that stuff on the balance sheet because we could. But we don't have to do that. And we're prepared not to. And I think that helps us quite a bit as well.
Mike Price: If you can -- absolute the way the measurement period works, if you can just stay below through the end of 2023? It almost buys you another six plus months anyway, even if you weren't . So a really extensive period out,  longer before you have to worry about any of the Turbine (ph) impact or anything like that.
Jim Reske: That's right.
Michael Perito: Great. Thank you, guys. Appreciate that. Thanks.
Operator: Next we'll go to Russell Gunther with D.A. Davidson.
Russell Gunther: Hey, good afternoon, guys. Just a couple of follow-ups. The first on the loan growth conversation. Mike, you talked about the benefits of the commercial and consumer complementing each other. It's both verticals really on fire at the end of the year. Just curious, within your guidance, how you think about that mix for 2022, and could it look different or is there less of an appetite to portfolio single-family, just any thoughts there.
Mike Price: Yeah. I would say that as we close the year, commercial definitely gained momentum in the second half of the year. The mid-market and larger commercial banking. Mortgage kept down a little bit in the third quarter, was surprisingly resilient in the fourth quarter and the pipelines there looks good going into next year. Again on sale income there has been some , that we also get a household and we get checking accounts, debit cards and something we can bank hopefully for a decade or so. So that there's a -- the mortgage of the source to the young credit-worthy households. I think about the businesses -- small businesses on a good trajectory has its branch lending. But Commercial seems to have really heated up and it carry the day in the first half of the year. Jane, anything you want to add on just momentum is lending businesses as we go into 2022?
Jane Grebenc: Oh, sure. If all goes wells, nobody has to carries the day. We expect growth, different levels of growth, in every one of the business lines. And we also expect growth and then not even rate, but we do expect growth in our geography. So as an example we don't expect rapid commercial real estate growth in our community markets on our more rural markets, but we do expect lots of good consumer growth. If you take that sort of thinking throughout the footprint that's the beauty of team organized geographically. We can set expectations not fine line of business and by geography and we've done that.
Mike Price: Great. I would also add that the producers and the teams get just better every year in each line of business. And Jane likes to say, and I couldn't agree more, our top producers in any of our disciplines are as good as any at our much larger banking brothers and sisters. And that's been fun. And that sets the different tone. And we  and we have non-compete agreements pulling off. And as you know, Russell, we will invest in  return on that investment like we're doing with equipment finance for a year or two. We just think it serves as well, and we have the expense discipline where we can do that.
Russell Gunther: That's great, Mike, I'm just saying thank you both. I just have one other follow-up, Jim, on the margin conversation bids. Guidance you gave in terms of converging in the mid 30s with a couple of hikes, does that consider the equipment, finance, growth or  talk a little more on it?
Jim Reske: No, it does. It's , thanks for asking. I appreciate that, but it's all in because it sign-in and that's one of the reasons why the  Putting cash short of those yields, even if there are no hikes, which almost no one is thinking right now, but if there are no hikes, the margin should still expand because that's a nice margin business.
Russell Gunther: Okay, great. And I appreciate the confirmation there. That's it for me, guys. Thank you.
Operator:  Next we'll go to Matthew Breese with -- excuse me, Matthew Breese with Stephens.
Matthew Breese﻿: Hey, good afternoon. Two quick ones. The first is, could you provide what the incremental blended loan yields for the pipeline? What are those today? And what is that compared to versus what's on the books ex PPP?
Mike Price: Yeah. Well, I was searching for that.
Jim Reske: Yeah that should give what the answer, they're giving leftover quarters. The loan book coming out of the middle of three's. Commercial loans are kind of coming out in the mid-30s, depending on the category. Consumer loans going to be less than that. High-2's, low-3's on it.
Matthew Breese﻿: I'm just curious if we're starting to see higher loan yields today, ex PPP versus what's on the books?
Jim Reske: I would you say any not yet. So, maybe it's implying your question, this whole notion of replacing yields, and whether they're positive or negative. We've talked about this on the earnings calls for several quarters now. And I think, to be really honest about it, we had thought that the replacement yields to start to turn new  in mid-2021. And that really didn't happen. It continued to be negative.  the negative and then little more negative than depth bounced around a little bit, but there's negative throughout 2021. We do expect them to really start to neutralize the mid-2022, even at a flat rate environment and equipment finance contribution as part of that. But they should neutralize leads 2022.  The nice thing however, was that our loan growth was such that the loan growth beyond the replacement dollars were all positive because like you said $120 of loans and run a $100 the first $800 a year originators in negative to basically yields what's running off that's negative. But the next 20 is putting excess cash awards, so that replacement yield is incredibly positive. And that basically was the story for us for three quarters of the year, and I see as we have really strong growth from the second, third, fourth quarter. So that's, we'd be a little more complicated answer than you were asking for, but that's -- I'm maybe digging deeper into the whole replacing yield story, and how that's playing itself out. It hasn't neutralized yet. We generally expect neutralization sometime the middle of 2022, regardless of what happens in the  picture.
Matthew Breese﻿: Next one for me, it's just -- I appreciate the financial guidance for 2022. So securities about strategic initiatives for the year. Are there any new teams or segments you want to attack? Are there any new geographies that you plan to expand into? And then as you think about those items, going back to the M&A question, in terms of priorities, where does M&A fit into the stack these days?
Mike Price: We feel like we need to grow organically first and foremost and make our business better, and then we become more attractive, and our valuation goes up. And so we really start with -- we have six strategic initiatives this year. I'll just give you two. One is to accelerate growth, and the second one is to improve our digital relevance, which we continue to do every year. On the growth side, our bevy of initiatives, one being equipment finance and ramp things up as quickly as we possibly can, that also includes getting better in every one of our businesses, and every one of our geographies. And what you're seeing on the fee income side is just the synapses fire quicker in our regional business model, and that regional President in that team are working better and better together. And then think referrals, and that shows up. We think the productivity gains, importantly, are among the most important things we can do quarter-to-quarter and year-to-year.  Do have some things tucked away that we're going to explore but I don't know if we're ready to announce those. We've had a good card business, and our card business has grown significantly. But we have to evaluate whether we extend in businesses like that. We're going to have a foray here in the leasing. That leasing will be small ticket. How quickly could it become more of a middle-market business? We think that we'll take another year, or two, or three, so there's all kind of things we can expand to do with what we have already. Geographically though, assembling the best team to compete is a big, important idea and improving share in each of our major metro markets: Northern Ohio, Columbus, Cincinnati and Pittsburgh. Jane, do you want to add anything to that?
Jane Grebenc: Just to have the John to what you were saying Mike about recruiting for cap channel and -- the beauty of many of our markets is that will really branch light. And so we can recruit a lot of commercial talents and create very quick operating leverage.
Mike Price: Was that helpful, Matt?
Matthew Breese﻿: Very helpful. Last, very quick one for me is what's a good tax rate for 2022?
Jim Reske: About 19% over that because 19.1, but that's -- but we notice mostly we haven't done that in quite well.
Matthew Breese﻿: Great. I appreciate taking all my questions. Thank you.
Mike Price: Thank you.
Operator: There are no further questions at this time. I'll now turn the call back over to Mike Price for any additional or closing remarks.
Mike Price: Thank you as always for your interest in our Company. And we're enthused about the future of our Company. We feel like we built a balanced bank between commercial, commercial and consumer with lots of good offering, deep offerings. We connect the dots between lines of business. And it's fun and we feel like we make a difference in the communities we're in with both consumers and our business. Thank you again and look forward to seeing a number of you over the course of the next quarter. Take care.
Operator: This concludes today's conference call. You may now disconnect.